Operator: Good day everyone and welcome to the Cryoport Fiscal First Quarter 2016 Financial Results Conference. Today's call is being recorded. At this time I would like to turn the conference over to Garth Russell with KCSA Strategic Communications.
Garth Russell: Thank you, Kim. Good morning everyone and thank you for joining Cryoport's fiscal first quarter conference call. Before we begin today, I would like to remind everyone that this conference call contains certain forward-looking statements. All statements that address operating performance, events or developments that we expect or anticipate to occur in the future are forward-looking statements. These forward-looking statements are based on management's beliefs and assumptions and not on information currently available to our management team. Our management believes that these forward-looking statements are reasonable as and when made. However, you should not place undue reliance on any such forward-looking statements because such statements speak only as of the date when made. We do not undertake any obligation to publicly update or revise any forward-looking statements whether as a result of new information, future events or otherwise, except as required by law. In addition, forward-looking statements are subject to certain risks and uncertainties that could cause actual results, events and developments to differ materially from our historical experiences and our present expectations or projects. These risks and uncertainties include but are not limited to those described in Item 1A risk factors and elsewhere in our annual report on Form 10-K and those described from time to time in other reports which we file with the Securities and Exchange Commission. During this call we will also present certain non-GAAP financial measures and certain ratios that use these measures. In our press release with the financial tables issued earlier today which is located on our website at cryoport.com, you'll find a reconciliation of these non-GAAP financial measures with the closest GAAP measures and a discussion about why we think these non-GAAP measures are relevant. These financial measures are included for the benefit of investors and should be considered in addition to and not instead of GAAP measures. With nothing further, I'd now like to turn the call over to Mr. Jerry Shelton, Chief Executive Officer of Cryoport. Jerry, the floor is yours.
Jerrell Shelton: Thank you very much, Garth. And good morning everyone. Thank you for joining me on this call today. Also with us today is our Chief Financial Officer, Robert Stefanovich, who will take a part of the presentation. I'd like to start off the call by commenting on the solid quarterly top line performance we reported this morning for our first fiscal quarter ended June 30th. Revenues for the quarter were up 53% to $1.4 million compared to the same period last year. As of June 30th, we've had a compounded annual growth rate of 92% over the last three years. And of course, with our recent capital raise, we intend to accelerate that growth rate by judiciously investing more into our business. Momentum in our business is just the beginning of what we believe is a rapidly increasing need for our cryogenic logistics solutions from both existing and new customers across all segments of life sciences industry. As the global leader of advanced cryogenic logistics solutions for the life sciences industry, we have approximately 350 clients who are using our solutions today. Our client base is diverse and includes biopharmaceutical companies, central laboratories, contract research organizations, contract manufacturers, research universities, animal health companies, and reproductive medicine located in all parts of the world. And the commodities these organizations ship are varied as well. Shipments of biologic materials are placed in our hands because they need to be maintained at cryogenic -- in a cryogenic state, in a reliable and verifiable manner. A few examples of the commodities we ship are cell lines, diagnostic materials, live tissue, CAR-T cells, stem cells, reproductive cells, just to name a few. Our market segments include biopharma, animal husbandry, reproductive medicine, diagnostic laboratories, health centers and institutions. In the life sciences industry, to those who know our Company, we have built a rock-solid reputation for our solid performance for ensuring that shipments are delivered on time and without compromise. In other words, we are effective and we are efficient. The value of the commodities that are placed in our care ranges from thousands of dollars to tens of thousands of dollars. In many instances, the commodities are one-of-a-kind and considered priceless. All this is to say that our customers need a trusted partner for their precious commodities. For example, we believe our Company is playing a critical role in supporting the medical advancements that the research community and their counterparts have made in immunotherapies, including autologous and allogeneic therapies that include stem cells, antibodies and CAR-T cells, to address a whole host of diseases and cancers. Immunotherapies at this very moment in time are in the process of changing from a promise to a reality and have recently provided some patients with long-lasting and in some cases permanent remission from previously considered impossible cures. As a partner to these companies, we provide cryogenic logistic solutions that support their efforts and ensure the delivery of their commodities to designated points of destinations. We ensure delivery and allow them to focus their work toward developing our manufacturing innovative treatments that advance mankind. We are excited to be a critical aspect of the development and distribution of these important breakthroughs. However, before these and other therapies even come to the market, there are clinical trials that need to be conducted to prove the effectiveness of the concepts, ensure patient safety and prove superiority. And here too we play a crucial role. There are significant dollar spent on these trials in the hopes that drugs or therapies that are under development will turn into blockbusters. These clinical trials are just one pillar of Cryoport's biopharma business today and they're driving considerable growth. We're currently supporting 45 clinical trials and estimate that these therapies can contribute up to $150 million in cumulative revenues over the next five years. We're currently supporting trials that address diverse therapeutic areas such as oncology, autoimmune disease, Parkinson and congestive heart failure. These trials are in various stages of clinical development and include eight phase 3 trials. Our clients and their activities are globally located and our advanced technologies and -- with our advanced technologies and knowhow, we offer geographic support that reaches to all parts of the globe, including the Americas, Europe, Japan, Australia, Africa, the Middle East and locations throughout Asia. As therapies advance from preclinical to phase 1, phase 2, phase 3 and finally to commercialization, demand for our cryogenic logistic solutions increase, as more data needs to be collected and the trial sizes and patient populations are expanded. The first of these trials is expected to initiate commercialization activities in late 2016. Our primary cryogenic logistics market is sized at about $1.7 billion and is growing at over 14% per year. And Cryoport continues to gain share and outpace the growth of the market overall. As such, we see continued and substantive organic growth potential in our current customer base, as well as in new business wins in existing and emerging markets across all market segments. The total biologics market is estimated to be $289 billion and growing at 10.8% annually today. By 2025, the market will be $800 billion to $900 billion by the best estimates available to us. So in looking at the big picture, Cryoport is well-positioned to continue our path of growth as the industry fuels the demand for a validated best-in-class cold chain logistics solutions that are reliable and efficient. In addition to our direct sales efforts, we're looking to drive further growth through our strategic private branding relationships with FedEx, UPS and DHL. These carriers, accounting for over 90% of the world's air freight, chose Cryoport individually and independently to support their respective strategies in the cryogenic logistics market. Each one of these companies is huge and yet each chose Cryoport. I asked each of them, why? Why did you choose Cryoport, this tiny company? And the answer was universal. Cryoport is simply the best. Over time these large integrators will become significant contributors to our growth trajectory as each of them separately and independently roll out their respective sales and marketing efforts to capture market share in this rapidly growing sector of the life sciences cold chain market. We're constantly building and refining our logistics network. Recently we extended our partnership network with the addition of a full-service global freight forwarding operation in support of the shipment of temperature-sensitive materials for ongoing clinical trials in Africa. Our partnerships expand our global network, allowing shipments to securely reach additional important remote locations. Our expanding network is a testament of the growing strength of Cryoport's brand globally and further underscores our lead role as the go-to partner of choice for clients and potential partners that require cryogenic solution. As we look to expand our footprint, we have made investments in our infrastructure over the past year and hired across the operations to support our ongoing growth. Part of our growth strategy is an increased sales and marketing presence. This has included hiring sales personnel in strategic locations throughout the United States. These added resources are having an immediate impact on our success rate at closing customer agreements as demonstrated by our financial performance and growing customer base. However, it is imperative that we do more to grow our business and gain market share. We must continue to invest in our business as our business -- our markets are burgeoning and demand for our solutions continues to gain pace. To ensure that we take advantage of these opportunities, we're pleased to have just completed the capital raise in July for $6.8 million and an up-listing to the NASDAQ Capital Market. The capital we raise will be put straight to work and further investment in our infrastructure and continued expansion of our marketing and sales effort both geographically and by market segments. Before handing the call over to Robert, I want to thank our investors for their ongoing support. We're very excited to have listed our shares on the NASDAQ, which is an important corporate milestone for the Company as well as another stepping stone for our continued success. This up-listing will dramatically expand the number of investors who will be able to invest and share in our growing success. The NASDAQ provides Cryoport with enhanced exposure as well as liquidity, and we look forward to attracting a wider institutional investor base, which includes mutual funds, pension funds and other institutional investment firms. As we continue to execute on our strategic growth initiatives, we remain focused on growing our revenue and on driving shareholder value. Even though for the time being our stock is at one of its lowest points, from an operating point of view, our Company is in the best shape it has ever been in all respects. And with that, I will now turn the call over to Robert to discuss our financial results for the quarter ended June 30, 2015. Robert?
Robert Stefanovich: Thank you, Jerry. Good morning everyone. Let me run through our quarterly results and then I'll turn it back to Jerry. As a reminder, our fiscal yearend is March 31, 2015, so we are reporting on our first fiscal quarter of 2016. For the quarter, net revenues increased by $494,500 or 52.8% to $1.4 million for the three months ended June 30, 2015, as compared to $0.9 million for the three months ended June 30, 2014. This increase was primarily driven by an overall increase in the number of clients utilizing our services, as well as growth within our existing client base. We generated revenues from clients in all of our life science market segments such as biopharma, biotech, diagnostic companies, central labs, contract research organizations, reproductive medicine, in vitro fertilization market, and institutions. The human reproductive medicine IVF market continues to respond well to our sales and marketing campaigns, growing by 67% compared to the same period last year and representing 23% of our revenues for this quarter. Noteworthy is also the increase in clinical trials we are supporting with our cryogenic logistics solutions, Jerry referred to earlier, as they present significant future growth potential. We do not have significant customer concentration and only one of our customers in animal husbandry accounted for over 10% of total revenues during the three months ended June 30, 2015 and 2014. Gross margin for the three months ended June 30, 2015 was 34%, as compared to 36% for the three months ended June 30, 2014. This slight decrease in gross margin was primarily due to the increase in freight costs resulting from a rebalancing of our inventories are our operating centers. Our gross margin target continues to be 60%, which we expect to achieve at about a $12 million annualized revenue run rate. Selling, general and administrative expenses increased $598,500 for the three months ended June 30, 2015 or 41.9%, as compared to the three months ended June 30, 2014. This increase was primarily due to salaries incurred to expand our sales force and equity-based compensation charge. Including a non-cash charge of $4.5 million for the preferred stock beneficial conversion, we've reported a net loss of $6.6 million or $1.31 per share in the quarter, compared to $3.1 million or $0.60 a share for the same period last year. However, excluding these charges and undeclared dividends, our net results for the quarter improved by $0.4 million or 16% from a net loss of $2.3 million to a net loss of $1.9 million for the first quarter of fiscal 2016, compared to the same period last year. As for the quarter-end, we had 5.1 million shares of common stock outstanding. Cash and cash equivalents at quarter-end were $2.4 million. In addition, subsequent to the quarter, we completed a registered public offering with gross proceeds including the partial exercise of the over-allotment option of $6.8 million. Based on our current plans and assumptions, the current cash on hand and proceeds from the public offering, together with projected cash flows, we're able to lift the growing concern language previously included in our financial reports. We will file our 10-Q with the SEC later today. Now I'll turn back the floor to Jerry. Jerry?
Jerrell Shelton: Thank you, Robert. I'd like to conclude by saying that we are making real progress in the Company. We're gaining clients daily. To a very large extent, Cryoport is still not known in the marketplace. And even those who thought they knew Cryoport do not know the new Cryoport. The new funds we just raised will allow us to invest in marketing and people to make ourselves better-known in the market. Our Company is in the best shape it has ever been in the entirety of its existence, and we are just beginning. As in most situations similar to ours, I believe that in time the market will recognize this and our true value will be reflected on our stock price. Operator, I'd like to -- I am concluded and I'd like to open the floor for questions.
Operator: Thank you. [Operator Instructions] Our first question will come from David Halperin from Stifel.
David Halperin - Stifel: Good morning.
Jerrell Shelton: Good morning, David.
David Halperin - Stifel: -- got five questions and I don't want to deluge you with too many, but can I just start on a few of them?
Jerrell Shelton: Sure.
David Halperin - Stifel: Can you give us any commentary on the latest capital raise?
Jerrell Shelton: Well, the latest capital raise, what are you referring to, David? What would you like me to comment on? There's a lot to --
David Halperin - Stifel: Your target was $15 million and we obviously ended up short of that. And I guess my concern as a shareholder is we're going to be going back to the market looking for more at some point. Can you give me any color on that?
Jerrell Shelton: Certainly can. I mean, I could understand your concern. Look, the market determines what we can raise and at what price we can raise it. We made -- we did have some headwinds that we had to face based on some history for the Company. We went forward with our offering. And the amount and the price came out as it came out. And we determined that we would accept that as it came out. We had an opportunity, we could have pulled the offering at that time, but it would not have pushed us forward and it would not have gotten us to a NASDAQ listing. We would not have had the reserves that we have today. This Company is in the best shape it's ever been. And even though we raised less capital than initial target, we have not compromised our plans at all in moving forward. We will be judicious in the way we use our funds, but we think this is enough to propel us to breakeven and beyond.
David Halperin - Stifel: And you mentioned in our last call that you expected to be at $12 million to $15 million by the -- I believe you said by the end of fiscal 2016. So --
Jerrell Shelton: No, that's incorrect, David. I said $10 million to $12 million by the end of fiscal 2016.
David Halperin - Stifel: Okay, $10 million to $12 million. So if we just did $1.4 million, are you able to give us any kind of a quarterly take-up so that we can -- otherwise, it would be -- it looks to me like we might end up having to do $4.5 million to $6 million in the last quarter, or maybe --
Jerrell Shelton: Well, you know, numbers are numbers, David, and you can definitely see the -- what we have to do in the last half of the year. We look at our forecast on a weekly basis and we are tracking to where -- it's not a level uptake. We do have -- we do have detailed forecasts, we track them. I'm still confident and I will reiterate my guidance of $10 million to $12 million by the yearend fiscal.
David Halperin - Stifel: And that would be the quarter ending March of 2016 or --
Jerrell Shelton: That's the end of -- yes, David, that's the end of our fiscal year, March 31, 2016.
David Halperin - Stifel: Okay. Got it.
Jerrell Shelton: Yes.
David Halperin - Stifel: And then the only other question I have, real quickly, is, we've -- I've been with this Company a long time as a shareholder and I have a lot of clients.
Jerrell Shelton: Thank you.
David Halperin - Stifel: It's been four years now with an agreement with FedEx, and it appears not to have -- it appears not to have been bearing a lot of fruits yet. Can you talk to us about the FedEx, UPS, DHL relationships, when you expect those to really provide more revenue for the Company?
Jerrell Shelton: Absolutely I can. The fact is that we don't put in a lot of -- a lot of weight on our future forecasting for the integrators. The most important part of those strategic contracts is the relationship. If you just think about it for a moment, regardless of whether the sales come in through us or it comes in through one of the private labels that you just mentioned, both get the business. I mean they account -- so they're the backbone in almost everything that we do, 90% of the time they are the backbone. However, they have big initiatives in the cold chain, and we are their exclusive provider in each case for the cryogenic solutions. They move very slowly. These are very large companies. There's a lot of bureaucracy that's necessary. One, you know, on the outside could criticize, but they feel that it's necessary and I respect that. They move slowly but they move with great, great power. I can tell you that UPS and DHL have their strategies under development now, they're consulting with us. In fact, we just spoke at one of their sales meetings. We'll speak at another sales meeting very shortly. We're starting to educate their people. It's a long process for them. They do not like to make mistakes, they don't want to make mistakes. And so they're very careful. FedEx is actually making progress, and they're repositioning, they're re-looking at their strategies as we brought on DHL and UPS, somewhat of a wake-up call. But the other thing is all three of these carriers have been advised by their strategic consultants that this is one of the hottest parts of the market, that is, temperature-sensitive life sciences. So they're taking this very seriously. And we do expect that, as they move, they will move with great power. But as far as giving you a detailed answer by quarter, I couldn't do that.
David Halperin - Stifel: Yup. I'm sure you share the same frustration, four years of FedEx has been a long time, and it appears as though very little has come out of it. But I'm willing --
Jerrell Shelton: Wait a minute, David. Let me comment on that. FedEx is a great partner. I have only been with the Company two years and ten months. And I can tell you that the relationship management has improved during that period of time. They are an important and valuable partner. And they will grow in their importance. So it's been some time. The future is what we're looking for. It's always today and tomorrow that we're looking for. And I think that they'll be a significant performer.
Operator: And moving on, we have a question from Brian Marks from Zacks Investment Research.
Brian Marckx - Zacks Investment Research: Hi, good morning guys. How are you?
Jerrell Shelton: Good morning, Brian.
Brian Marckx - Zacks Investment Research: First, you hit my numbers just about dead-on, so that's -- I see that as a big positive. Jerry, can you clarify the $150 million over five years estimate. Is that an estimate of total potential revenue if you were to support all the phases of all -- these clinical trials or does that also include potential revenue from shipping during commercialization?
Jerrell Shelton: This is over a five-year period of time which does include some commercialization of some of the products. Our forecasts, Brian, were based on detail, drug by drug, going through each of the phases. It was based on public information and conversations we've had with each of those companies. We then went through the statistical data from clinicaltrials.com to determine exactly the percentages of failure that have been experienced historically with various groupings. And we further hedged that. So our numbers are significantly larger, the 1.5 is a hedged number that we feel confident we can deliver. But it does include some commercialization of the particular drugs, yes.
Brian Marckx - Zacks Investment Research: Okay. And you talked about that there is one drug candidate that could potentially be commercialized in late 2016, I think you said. Is it your expectation that, if and when that happens, that you would be involved in the shipping of the product?
Jerrell Shelton: We will be the total logistics solution for that product. That's -- that MSA is right now being negotiated and will be firmed up very shortly.
Brian Marckx - Zacks Investment Research: Okay.
Jerrell Shelton: We will be the exclusive cryogenic logistics provider.
Brian Marckx - Zacks Investment Research: And is -- are those relationships something that you can talk about in the future publicly? Will your partner allow you to do that?
Jerrell Shelton: Well, Brian, in this particular case, we haven't approached that. As you know, some in individual basis. Some of the companies are very sensitive and do not want you to mention anything about them in the press at all. Others welcome the press. So I can't give you a definitive answer on that particular one or any other one at this particular time. All those that we made press releases on have been approved by the companies and we would expect future cooperation from those. But there are companies that just want to play it close to the vest and do not want the publicity.
Brian Marckx - Zacks Investment Research: Okay. Can you give us a sense of what your retention rate is? So when you bring on a new customer, what percentage of the customers would stay customers over, say, one or two or three-year period?
Jerrell Shelton: This is one of the most incredible businesses I've ever been in regarding retention. In the information publishing business, we used to have a 92% goal. In this business we have 99.99% retention. We don't lose customers, that's my point.
Brian Marckx - Zacks Investment Research: Okay. And so I think you mentioned you have about 350 customers now. Are those -- are all of those customers ones that would ship with you on a regular basis?
Jerrell Shelton: Yes. And the frequency varies. It depends on what kind of customer they are. Diagnostic -- a small diagnostic laboratory of course might only ship 12 shipments a year, but then you take a contract manufacturer and you're going to get a hundred shipments a month, I mean. And then some of these immunotherapies are a thousand shipments a month, I mean. So it varies depending on -- the frequency varies depending on the need of the client.
Brian Marckx - Zacks Investment Research: Okay. All right, thanks. That’s all I had.
Jerrell Shelton: Thank you, Brian.
Operator: We'll take our next question from Steve Emerson from Emerson Investment Group.
Steve Emerson - Emerson Investment Group: My compliments to great results and then excellent conference call. Can you give us a little better color on more immediate backlog such as what kind of revenue are you hoping for, for trials -- clinical trials that had been approved, like FDA-approved trials, or any other way that we can gauge the more immediate revenue potential?
Jerrell Shelton: Steve, that's a subject that you have brought up with me before, and I really appreciate that subject, because we -- it's something that we need to do. I do not have a good answer for you right now, but we are discussing metrics that we can report on a -- that are meaningful metrics, giving an indication of the future that we can report on a regular basis. I gave you some information in our earlier call but I don't have that formed right now, to be honest about it, but I do want to -- I want to be thoughtful about it, I want to have something that we can do on a regular basis, giving you and all of our other investors the answers that they need.
Steve Emerson - Emerson Investment Group: Thank you very much. And are you -- just a clarification. You mentioned the 99% plus retention rate. Is shipping with your service or container specified in the FDA application or both your customers and FedEx can potentially switch?
Jerrell Shelton: Many times, and I can't say that it's all the time, but when trials are -- when trial plans have to be approved by the FDA, and definitely in temperature-sensitive products the methodology for maintaining the temperature is specified, and so in some cases we are definitely written in as Cryoport. In some cases it's written in as temperature control, doers are written in to the -- doers with information requirements are written into the protocols. It's very difficult to change. I mean we're gaining one client now that wants to complete his phase 2 trial with his current -- in his current methodology because he doesn't want to change his plan, but he has changed his plan for phase 3 to ride us in, and that's the way we get the client. Once you get written in, it's a real onerous process, troublesome process to change.
Steve Emerson - Emerson Investment Group: Okay. That's written in the FDA protocol, if I hear you --
Jerrell Shelton: It's not the FDA protocol, it's the plan that's submitted to the FDA.
Steve Emerson - Emerson Investment Group: That's what I mean.
Jerrell Shelton: Yes, yes, you're right.
Steve Emerson - Emerson Investment Group: Of the $150 million, could you hazard a guess as to what proportion of that would have been written into the protocol of the submitted protocol? Were half or can you tell -- give us your thought?
Jerrell Shelton: Steve, I just can't -- I can't do that. I don't say things that I can't back up and I don't say things I can't deliver. And I can research that and try to figure out what that is and talk with you later offline, but I can't do that right now.
Steve Emerson - Emerson Investment Group: Okay, I'd appreciate that call. Thank you.
Jerrell Shelton: Sure.
Steve Emerson - Emerson Investment Group: Thank you very much.
Jerrell Shelton: You're welcome.
Operator: [Operator Instructions] We'll take our next question from Lynn Yappi [ph] from Statdat Partners [ph].
Unidentified Participant: Thank you very much. Had a couple of questions for you please. In talking with the various people involved in cancer immunotherapy, it's clear to me that, between the companies, the providers, the labs, that minus 150 shipping is state-of-the-art today. And I was wondering if you could comment on if that's what's being reflected to you as well as if you could discuss a little bit of the competitive position that you have, who the other companies are, and some of the advantages that you see that you offer. And then the second question is, you discussed the $10 million to $12 million revenues. And I want to understand, is that a fiscal 2016 fiscal year revenue estimate or is it in exiting Q4 revenue run rate? Thank you so very much, and congrats on all the progress.
Jerrell Shelton: Well, thank you very much, Dr. Yappi [ph]. You've continued to research and I really appreciate that and I appreciate these follow-up questions from our previous conversations. So it's our target to have 10 to 15 -- $10 million to $12 million in revenues for fiscal year 2016. And so that implies a greater run rate of course. That's the answer to your last question. In the earlier question, in terms of structure of the market. Most of our competition is in-house competition. There are doers all over the place and then there's dry ice, and dry ice is our biggest target of course. The new sciences, the new biology, in many cases, just can't use dry ice, so it's out of the picture. So then folks are -- have to either buy doers or they have to use us for in-house solutions. We have very few structured competitors in the marketplace. There is a division of thermal fisher called Fisher Bioscience which is -- which primary -- whose primary business is a bio-repository. It's a very large and effective bio-repository. As a result, they have to shift things in and out and they've developed -- they'd buy doers and they strap data loggers around them. That's a far cry from what we do. Shipping is only a component of what we do. If you look at what really distinguishes us, it's not -- it's those three buckets of tools that we've discussed before. We work from packaging, information technology, and logistics expertise. And if you put those together, that's what creates the uniqueness of Cryoport. And by far, the information aspect, the reliable information aspect, going along with our validated and reliable packaging, and then our intervention capability, we -- there's no one that's structured to compete. We are unique in the world, and we want to keep -- we want to stay that way. We think we're four or five years ahead of any potential competitor, and we want to stay there. Other structured competitors have fallen into the category of what I'd call co-optition. In other words, sometimes they're competitors and sometimes they're customers. I can tell you that all of them come to us when they have difficult issues. They have a few doers and they do do some shipping. But when they have tough issues, they come to us, because what I just said doesn't exist in their offerings. And that would include a division of AmerisourceBergen called World Courier, and it also would include Marken [ph], another private company. And then there are a few other small competitors that are almost insignificant. The biggest competition is in-house.
Unidentified Participant: Thank you. And Robert mentioned, and I didn't hear it clearly, on the revenue breakdown, I think you said that one section of the business was 24%. And if you could just repeat which one that was and what that division represented, if you have it a year ago as overall revenue percentages of the revenue stream.
Jerrell Shelton: Robert, do you want to take that question please?
Robert Stefanovich: Yes. What I was referring to was the human reproductive medicine, the in vitro fertilization market. And that group buy 67%. As a mix, it was 23% of our current revenue. So it's about 20% a year ago in the same quarter. So in terms of a mix, it stayed relatively constant and did grow. And we're seeing, again, a strong response from that market to our telemarketing and really web-based campaign. That's really directed to the IVF clinics as well as to the intended parents involved.
Unidentified Participant: Right, thanks. And I'll just ask a quick last question. In order to attract institutional ownership, as I'm sure you know it's often necessary to have a stock price that is at a higher level, would you, especially over $5 seems to be one of the magic numbers, would you ever consider a reverse stock split in order to be able to stock more -- to make the stock more institutionally attractive, or are you just looking forward to the games that we all expect in your business to be able to generate a higher stock price?
Jerrell Shelton: Lynn [ph], we have absolutely no interest and no reason for consideration for any kind of reverse stock split. We did a reverse stock split to get the funds raised and to get to the NASDAQ level we're in. The reaction of what happened in our up-listing and this down-ground [ph] with warrants on it was predictable. We didn't predict it exactly where it went, but we're confident that the stock will be much in excess of $5 by yearend, much in excess. And it's a matter of getting the news out of what we're doing and sharing it with investors and potential investors, of telling our story, and our performance. And we're confident in our performance.
Unidentified Participant: I share your enthusiasm and I look forward to it.
Jerrell Shelton: Well, you're going to see it and we will deliver. Thank you.
Unidentified Participant: Thank you so much.
Operator: We'll move on to Morris Teller [ph], a private investor.
Unidentified Participant: Good morning, Jerry.
Jerrell Shelton: Good morning.
Unidentified Participant: I understand that your software is really unique for the shipping and tracking. I was curious if almost all of your [inaudible] are utilizing that software and are any of them using that as a solution that handle all of their shipping, or is it just pertaining to the package that they send with you?
Jerrell Shelton: Well, the thing is that people often look at us and they -- the first thing they gravitate to is our packaging. And I refer to it as packaging because our packaging in itself is, you know, it starts off being engineered like a BMW, the packaging on the outside. It includes packaging engineering -- materials engineering, mechanical engineering and electronic engineering. And people focus on that a lot in the beginning. They also say, they ask us about our shipping, and those are simply components. Other components do include the logistics expertise, and that software that you're talking about enables that logistics expertise to a great degree. The software that you're referring to not only provides the fundamental information you referred to but it generates the order. It captures data about valuable commodities around the world. We have data that no one else. It monitors shipments throughout the whole process, and we have algorithmic predictors about where things should be and when. We're monitoring and have an ability to intervene through our virtual global intervention teams and we do use that occasionally. We don't do it often but we do do it. So that software is an integral part of everything we do. We have about ten software solutions. So they go from everything from the turnkey solution which you're referring to by inference, and all the way to, let's say, Zoetis who's our largest customer where we use that software for managing their entire cryogenic logistics shipping to every part of the world except Europe, which we'll be taking over soon. So the software is very powerful. It's the -- I built software companies and I've used a lot of software and built companies around software. This is the most powerful operating platform in the cold chain by a long shot. So it's an integral part of what we do, customers do use it exclusively, and they depend on it. That chain of condition and chain of custody is important, and it will be of growing importance for the -- in the regulatory sense as time moves on.
Unidentified Participant: In your expansion of getting more money, do you have any plans to broaden into different temperature ranges?
Jerrell Shelton: That's an interesting question because the market of course is a lot bigger in two-to-eight [ph] than it is in cryogenic. We're in the most difficult portion of the market. But we will definitely look at other temperature ranges along the way. And if it's appropriate and the timing is right, we might look at that on a controlled basis. But right now we have plenty of opportunity in the space that we're in. This is our top priority, to build Cryoport as it is today. And we'll look at those other opportunities as we come along. But those opportunities are there for the future and they will fuel undoubtedly some of our future growth. But not immediately.
Unidentified Participant: Okay. Thank you. That's it for my questions.
Jerrell Shelton: Thank you.
Operator: We'll go next to Jerry Turian [ph] from -- a private -- I mean a private investor.
Unidentified Participant: Yeah. Am I getting through? Can you hear my question or can you hear me?
Jerrell Shelton: I could hear you fine, Jerry [ph].
Unidentified Participant: Okay. I didn't know, I wasn't sure. Going back to the revenue projections, Jerry, between now and the end of this fiscal year. We're now through the first quarter and we did $1.4 million. And your projection is between $10 million and $12 million. So let's just say, round it off for the next nine months, to get to $11.4 million, which kind of splits the difference, you've got to start doing $1 million a month, because you got nine months left to do it. If I heard you say that you can't really project what you're going to get out of FedEx, UPS and the like of those kind, how are you confident on your revenue projection? And --
Jerrell Shelton: Well --
Unidentified Participant: -- so for example, the next three months, we get $2.4 million, $2.3 million, that means that the last six months it's really got to be a hockey stick to get to $10 million to $12 million.
Jerrell Shelton: Well, Jerry [ph], first of all, it is a hockey stick. And I've never said that it was anything else. It definitely is a hockey stick. So the shape of the curve is something that we are constantly combing internally. And is it a reach? Well, sure it's a reach. But you don't expect me to sit back on the hunches and just let it float along. I mean we've got to put -- we've got to put the pedal to the metal as they say. And so that's what we're doing. And with these funds, we'll be expanding our marketing. In fact, I'm talking with our marketing firm today, it's a new marketing firm, this Company has never had marketing. And we were engaging we think a top-class marketing firm now. We're in that process, because we've just now gotten the funding to be able to do that. We'll be increasing our efforts in the segments that we think will respond the quickest. As far as FedEx, UPS and DHL go, I'm not depending on somebody else to do my job. Our job is to build our Company ourselves. There's simply an asset that can put some icing on the cake. But we're looking at core, we think we know what we're doing, and we're -- if I wasn't confident that we could reach those numbers, I wouldn't be talking about them, Jerry [ph].
Unidentified Participant: Well, no, I appreciate that. So your confidence really is in your assessment of what you would say as existing marketplace that you think you can get with a better exposure and marketing to those companies. I mean you're just --
Jerrell Shelton: -- New York Stem Cell Conference, we presented to 600 of the top scientists in the country, we were the only device that was -- that presented there. Everything else was science. Those scientists knew nothing about us. They didn't know about us, Jerry [ph]. And they would come up to me and my colleagues at the break and say, "Where have you been?"
Unidentified Participant: Well, yeah, but, Jerry, that's a different issue than seeing --
Jerrell Shelton: It's not a different issue. It's not a different issue. No, it's not, Jerry [ph]. Jerry [ph], it's not a different issue. What I'm trying to say to you is that marketing will play a role, sales plays a role. We haven't had the firepower in the field, we haven't had the marketing. We haven't had any of those things. So this is a game-changer. It's a game-changing time.
Unidentified Participant: Well, that's a reasonable hypothesis, I mean I'm not [inaudible] I just, you know, it's like a guy saying, can make this six-foot putt [inaudible] and so I just wanted to hear you talk about it, as I say, because the rest of us are sitting here, we all know what's going to happen to this thing if we start taking $1 million a month now. I mean we all want that -- we all want that to happen. And so if the projection is in the next nine months we're going to get in that average, you got to be close to $1 million a month, and pretty soon, or we won't get to the $10 million or $12 million.
Jerrell Shelton: Well, first of all, it will be a hockey stick, Jerry [ph]. And the other thing I have to say to you is I really appreciate your long-term allegiance to the Company and your --
Unidentified Participant: No, I'm a stupid old hockey player, that's why.
Jerrell Shelton: Yes.
Unidentified Participant: Anyway. No, I appreciate that. Yeah, there's no issue -- we're not in opposite sides of the fence, I just, you know, I haven't called in and asked this kind of stuff, but I thought we're $1.4 million and I got my simple arithmetic says it's got to get going and get going soon to get to $10 million to $12 million.
Jerrell Shelton: You're absolutely right, Jerry [ph]. Absolutely right.
Unidentified Participant: Yeah. Well, thank you. I appreciate that --
Jerrell Shelton: Thank you. We'll deliver the hat-trick.
Unidentified Participant: Thank you.
Jerrell Shelton: Thank you.
Operator: [Operator Instructions] We'll take a follow-up question from David Halperin from Stifel.
David Halperin - Stifel: Jerry, I had one more question I forgot to ask you. We've been doing this component of offering shares and offering warrants, these units, as you call them. What's the logic behind doing the warrants and how long is this going to continue? Will we get to the point where we can just get to straight shares and keep it simple?
Jerrell Shelton: We're there now.
David Halperin - Stifel: Good. That's what I wanted to know. Thank you.
Jerrell Shelton: You're welcome.
Operator: And there are no further questions at this time. Speakers, I'll turn the conference back to you.
Jerrell Shelton: Thank you very much everyone for joining us this morning. I really appreciate your interest and your allegiance. I know everyone who's on the call, because we have a call sheet here, and I appreciate every one of you. Thank you very much.
Robert Stefanovich: And maybe just for -- this is Robert. One point of clarification just in terms of stock price target by yearend. We -- Jerry mentioned $5. And look, we believe that the stock is currently undervalued and we certainly hope that the price will reflect our progress by yearend, but we don't endorse any specific price target. It's really just our belief that it is currently undervalued and we will see growth in the stock price going forward.
Jerrell Shelton: No. Robert, for clarification, I said we -- I said excess. I didn't say -- I didn't give a price. You know, I was talking about generalities about where we're headed. I think the question had to do with investment from institutions who could -- who needed the $5 threshold. I think Lynn Yappi [ph] made that point, and it's a good point. And I said I think we'll be far in excess of that. And Robert's clarification is absolutely right, we're not in the position to endorse any particular price, but I am giving you my opinion.
Operator: And that does conclude our conference today. Thank you all for your participation.